Operator: Good day and welcome to the eGain Fiscal 2015 Second Quarter Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Charles Messman, from eGain Corporation, please go ahead, sir.
Charles Messman: Good afternoon, everyone and thank you for joining us today for eGain's conference call to discuss results for fiscal 2015 second quarter and ended December 31, 2014. Please note this call is being recorded and will be available for replay from the Investor Relations section of our web site at www.egain.com for seven days following this call. Before I begin, I'd like to remind all listeners that this conference call contains forward-looking statements within the meaning of the Safe Harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. This conference call contains forward-looking statements that involve risk and uncertainties. These forward-looking statements include, among other matters, statements about the company's market opportunities; statements pertained to the company integration of Exony; statements about the company's financial results for the second quarter of fiscal 2015 ended December 31, 2014, with respect to total revenue; statements regarding deferred revenue, subscription and support revenue, license revenue, and statements regarding our fiscal 2015 guidance including some sources of revenue and business mix. The achievement or success of the matters covered by such forward-looking statements involve risks and uncertainties and assumptions. If any such risk or uncertainty materialized or if any assumptions prove incorrect, the company's results could differ materially from the results expressed or implied by forward-looking statements we make. The risks and uncertainties refer to above included but are not limited to, risk that our hybrid revenue model and lengthy sales cycles may negatively affect our operating results; risk related to our reliance on a relatively small number of customers for a substantial portion of our revenue; our ability to successfully integrate Exony; our ability to compete successfully and manage growth; our ability to develop and expand strategic and third-party distribution channel; risk associated with new product releases; risks related to our international operations; our ability to invest resources to improve our product and continue to innovate; and other risks detailed from time to time in eGain's filings with the Securities and Exchange Commission, including eGain's Annual Report on Form 10-K filed on September 12, 2014 and eGain's Quarterly Report on Form 10-Q, which are available on the Securities and Exchange Commission's website at www.sec.gov. These forward-looking statements are based on current expectation and speak only as of the date hereof. The company assumes no obligation to update these forward-looking statements. On today's call we will mention adjusted EBITDA, a non-GAAP financial measure that is defined as net income loss adjusted for the impact of purchase accounting adjustment to deferred revenue related to acquisition, depreciation and amortization, stock-based compensation expense, interest expense, net income tax provision, amortization of acquired intangibles and acquisition related expenses. I should note that non-GAAP results are presented for supplemental informational purposes only and should not be considered a substitute for financial information presented in accordance with generally accepted accounting principles and may be different from non-GAAP measures used by other companies. We use these non-GAAP measures to compare the company's performance to that of prior periods for trend analyses, and for budgeting and planning purposes. We believe that the use of these non-GAAP financial measures provides an additional tool for investors to use in evaluating ongoing operating results and trends in the company, and comparing the company's financial measures with other software companies that present similar non-GAAP measures to investors, allowing for greater transparency with respect to key metrics used by management in financial and operational decision making. With me today are, Ashu Roy, Chairman and Chief Executive Officer; and Eric Smit, Chief Financial Officer of eGain. To begin discussion, I will now turn the call over to Ashu. Ashu?
Ashu Roy: Thank you, Charles and thank you, everyone for joining us today. You may have had a chance to see the press release. So let me focus on adding colour for the quarter and also for the first half of the fiscal year. This is been an exciting and transformational six months for eGain. As a company, we have rallied behind a simple theme. Easy with eGain, this means we are building, implementing and selling and easy to use product and will make it easy for our customers and partners to do business with us. So starting with the products, we released the eGain 14 our latest version in December, this has an easier to use, fresh user interface, richer out of the box capabilities and simple best practice implementation models. As the result, we expect to reduce services implementation effort in typical engagements by up to 30%. This improvement is received very well by clients and partners. As we all know, speed of delivered business innovation is the biggest differentiator today and our platform enables the fastest customer engagement innovation in the market. On the cloud front, we have mentioned to you before, we have invested in securing scaling and simplifying our cloud over the past year. As a result, this quarter we are rolling out a robust cloud offering with market leading SLA guarantees with actual service credits not just commitments [indiscernible]. This offering will deliver enterprise class security, scalability, reliability and integration capabilities required by our enterprise plans for mission critical customer engagement. On the sales front, AJ Berkeley is driving a data driven transparent investment approach and developing a performance based culture, I like it. He began by investing more in building pipeline first, our eGain World panels day event in November was a good example. Attendance at the event was up 75% over last year. Our enhanced proposition around omnichannel engagement leveraging the Exony capabilities we had acquired before was received very well and follow-on eGain World in London, next week promises to pull in 100% more attendees compared to last year. Also based on market pull, we are now investing more in joint marketing with partners and the early returns are promising. For instance, the follow-on activities we are now planning with Nuance, who we announced a marketing partnership with to jointly offer a customer, experience solutions across voice and digital. AJ has also asked a dedicated team to develop opportunities in our installed base. On the team front, we're systematically rotating the team letting go poor performers and hiring replacement based on pipeline strength. Finally based on key gap assessment in the field, we have pulled together, what used to be dispersed, go-to market responsibilities across sales marketing and product teams under one dedicated go-to marketing team. Whose sole charter is to enable our direct sales and partners on a global basis? While there is a lot more to do, I'm very encouraged by the progress we have made in the last six months on the sales front. On the services front, we are reducing our worldwide team size to match the easy hence lower effort methodology enabled by our new product. At the same time, we are investing more in implementing, in helping partners implement better because we're seeing more pull based on deals. We will continue to drive in this direction that is to train and support partners to do implementation, even as we focus our own team to deliver cutting edge implementation for high end client. Let me talk to the Exony acquisition, this has been a big event for us in the first half of the year. As we work through the integration last quarter, we assess the standalone sales pipeline for Exony. We concluded that, while the opportunities were real, they were not based enough some of the big ones at least, to support our standalone contribution forecast for fiscal 2015. So we decided to move towards and that too quickly move toward a unified sales approach. Merging the teams, to aligned with our unified road map. This simplification will help us maximize growth in fiscal 2016. As we stated when we acquired Exony, their core contact center management and analytics capability is a critical component for our new platform. Last quarter, we decided it made sense to accelerate our product conversion and integration and the result in November, as I mentioned we announced at the San Jose eGain World Event, a new service in Beta mode for customer journey analytics. This is a hot topic for businesses looking to reduce customer effort in a digital world. In December, we released the eGain 14 with a first phase of analytics capabilities omnichannel that is, based on the Exony platform and in January, we've now dropped the Exony product into the eGain Cloud. So I'm feeling very good about the team and technology that we have gained from Exony, they are first grade. A word on the customer journey analytics solution. Ever since our Beta announcement in November, we have seen strong customer and partner interest in this, proposition that combined journey analytics and engagement application in one platform. We believe, we are the first to bring this integrated capability to market and we think this is a game changer, for clients who are struggling to cobble analytics and engagement across multiple vendors to drive the confirmation that they're looking to drive. To conclude my section, I think we are sitting on tremendous opportunity with our ability to deliver this omnichannel engagement solution with integration analytics and journey optimization. Furthermore and as we have grown our business and we see the advantages of operating at scale, I believe that we are now being, we are now in a position a good position to drive growth even as we can seek profitability in a sustained way and Eric will cover some of that as he talks in some more detail around the numbers. And finally something that, I know many of us including you are keen to know where we stand in our transition or migration towards more of a cloud business. I feel that, we are doing a lot of heavy lifting putting together the pieces on the product and services and field enablement side to make it easy for our partners and our direct channel to sell cloud-based solutions more effectively and I'm quite confident that over the next months, we'll start to see the results of this turnaround in terms of more cloud business as a percentage of our total business. Of course the journey towards a predominantly cloud business will take a couple of years, but I believe that the trend will start to shift in the cloud direction over the next six months and we all are gunning toward it, a lot of the investments and milestones that we have achieved in terms of products and cloud and services improvements are all driving toward that sort of goal and that we'll keep you informed on it, we just want to make sure, everyone knows that this is a lot of effort that we're putting in and we will start to see results, starting early fiscal 2016 in my opinion, including the channel side. So with that, let me pause and hand over to Eric Smit, our Chief Financial Officer. Eric?
Eric Smit: Thank you, Ashu and thanks for joining us today. Before I review quarterly financial results. I'd first like to provide more detail on the changes we announced today regarding guidance and our initiatives to deliver profitable growth. As we announced in our press release, we are revising our guidance for fiscal 2015 annual total revenue between $80 million and $85 million and annual subscription and support revenue between $42 million and $44 million. We also have currently to exit fiscal 2015, with an adjusted EBITDA run rate for Q4 of at least 5%. I'd like to now provide some additional details for the reasons for these changes. On the top line, there are three factors I'd like to highlight. First, the strengthening of the U.S. Dollar against the Pound and Euro. Given that close to 50% of our revenues come from EMEA, if the exchange rate stay account levels, we estimate the top line impact to be approximately $2 million to $3 million for the fiscal year. Now on the flipside, given our global operating model at the current exchange rates, we estimate a cost benefit of approximately $2 million for the year, based upon on the current exchange rates. Secondly, we lowered our previous expectations of revenue contribution from Exony as Ashu mentioned earlier. The estimates that we cannot process around $3 million. Again the two points worth noting on this, is one, when looking into the details of the pipeline they did not support our initial estimates, as Ashu indicated and then secondly, as we got into the detailed integration process we began to see the clear benefits of the combined synergies of the organization and as a result, we have shifted our focus to building and selling a combined solution. The third point also addressed by Ashu is lowering our PS revenue expectations by approximately $3 million. This is the result of the product changes again driven by our customers who prefer solutions that are easier to deploy and use and therefore require less professional services. Now turning to our operations, we believe we have reached the level of scale, that by aligning the business with the Easy with eGain theme outlined by Ashu, we are able to leverage our global operating model and grow in the top line, while generating operating profits. As part of this alignment, three areas worth noting. On the sales and marketing front, we have adjusted sales and marketing investments based upon performance and pipeline and will start to see the impact of these changes partly in Q3 and then in Q4. Second, professional services as discussed with the product changes to a more simplified offering, we have reduced the PS organization to align with this model. The gain we will see, some of the impacting Q3 with the full impact in Q4 and then finally, with the Exony integration now six months into the acquisition, the integration of our product and go-to market efforts are resulting in synergies that are driving additional savings. So with these cost adjustments and revised revenue projections, we expect to exit fiscal 2015 with an adjusted EBITDA run rate in Q4 of at least 5% again this compares to our original projections with higher revenues, but operating at a breakeven level. Now let's look at our quarter results, our total subscription and support revenue ACV at the end of the quarter was $41.5 million compared to $39.8 million at the end of the second quarter last year and $42.4 million for the first quarter of fiscal 2013. Excluding and unfavourable foreign exchange impact of almost $1 million, the total subscription and support revenue ACV was $42.5 million. If you look at gross bookings or revenue plus change in deferred for the quarter $15 million up from $13.4 million in the second quarter last year and for the six months our bookings were $41.6 million up 57% year-over-year. Backlog as of December 31, 2014 or total revenue plus unbilled and uncollected was $41.7 million compared to $37.7 million at the end of the second quarter last year. Total revenue for the second quarter was $18.9 million, a 7% increase from the $17.7 million in the comparable year ago quarter. Total revenue on a constant currency basis reflecting the strengthening of the U.S. Dollar compared to foreign currencies was $19.6 million an increase of 9% year-over-year. For the six months, total revenue was $39.6 million, an increase of 19% on a year-over-year basis. Foreign exchange impact for the six months was minimal. Our subscription and support revenue for the second quarter was $11 million, an increase of 7% of the second quarter last year. Subscription and support revenue on a constant currency basis was $11.3 million or 9% year-over-year. For the six months subscription and support revenue was $21.4 million or up 9% compared to $19.7 million for the same period last year. Foreign exchange impact for the six months was minimal. License revenue from perpetual sales for the quarter $3.6 million up 17% from a comparable year ago quarter. While professional services revenues for the second quarter was $4.4 million less compared to the prior year. For the six months license revenue was $10.3 million up 49% compared to $6.9 million for the same period last year. While professional services revenue for the six months was $7.9 million compared to $6.7 million up 17% from the same period a year ago. Looking at the geographic mix of our revenue, total second quarter revenue comprised 44% domestic revenue and 56% from international. Now looking at our gross profit and gross margins. Gross profits for the second quarter was $10.7 million or a gross margin of 56% compared to a gross profit of $11.8 million or gross margin of 67% in the comparable year ago quarter. If you look at the break out of gross margin by revenue side, subscription and support revenue gross margin for the second quarter 70% compared to 81% in the comparable year ago quarter. Professional services gross margin was a negative 13% for the quarter compared to 11% in the comparable year ago quarter. For the six months gross profit was $24.4 million or a gross margin of 62% compared to a gross profit of $22 million or a gross margin of 66% for the same period last year. Subscription and support revenue growth margin was 71% compared to 80% in the same period last year. Professional services gross margin for the six months was negative 14% compared to a negative 10% in the comparable year ago quarter. Turning to our operating cost, total operating cost for the second quarter was $16.3 million compared to $12.9 million in the comparable year ago quarter. For the six months total operating cost was $31.5 million compared to $24.6 million in the prior year. Operating expenses for the quarter included non-cash and other one-time adjustments of $2.9 million for the six months included $5.3 million. Adjusted EBITDA for the fiscal second quarter was loss of $2.4 million compared to a loss $269,000 in the second quarter of fiscal 2014. For the first six months adjusted EBITDA loss as $1.5 million compared to a loss $1.2 million for the same period last year. Net loss for the quarter was $5.5 million or a loss $0.20 per share on a basic and diluted basis compared to net loss of $1.2 million or $0.05 per share for the comparable year ago quarter. For the six months, net loss was $7.1 million over loss of $0.27 per share on a basic and diluted basis compared to a net loss of $3.3 million or a loss of $0.13 per share on a basic diluted basis for the same period last year. Now turning to our balance sheet, cash and cash equivalence and restrictive cash was $9.3 million at December 31, 2014 compared to $8.8 million at June 30, 2014. Total net accounts receivable was $10.7 million at the end of the quarter as compared to $11.2 million at June 30, 2014. DSO's for the second quarter were 51 days compared to 48 days for the comparable year ago quarter. Total deferred revenue which includes both deferred revenue on the balance sheet of $12.6 million and unbilled deferred revenues that remain off balance sheet of $29.1 million, less $41.7 million at December 31, 2014 compared to $36.3 million at June 30, 2014. During the quarter, we established a new $20 million credit facility with Wells Fargo Capital Finance, which includes a $10 million five-year term loan and $10 million revolver. This new credit facility replaced our previous facility and is larger and for a longer term providing great financial flexibility to support our strategy growth plans. With that said, I will now open the call up for questions. Operator?
Operator: [Operator Instructions] we will take our first question from Jeff Van Rhee with Craig-Hallum
Jeff Van Rhee: Great, thank you. Ashu, on the Cisco front, could you update us there with some quantification in terms of deals closed up selling and sort of some high level thoughts of your level of expectations at this point versus may 3 months, 6 months, 12 months ago give us a little more insight is to what's going on there?
Ashu Roy: Sure, so Jeff the fiscal contribution for the quarter was around 14%, 1-4. The lap that sort of part of the story, I think on the front end in terms of pipeline and the pull that we are seeing, that's continuing to grow. I'm feeling, like that's an area where we want to drive even harder. The only thing that we are now trying to kind of address is the fact that, the cloud part of that channel is not getting the kind of traction that we wanted and so, we're working through some rationalization of the skew, that we are shipping through that channel on the cloud and looking at some pricing options to see how we can make it more attractive. I think, there are some sales impediments in that, that we need to address and we're doing that, as we speak, but that's the only [indiscernible] I see right now, other than that I see it as getting better by the quarter. So I'm very bullish about, not just the Cisco itself but the whole ecosystem around Cisco and some of the bigger partners of Cisco like the VP's of the world, they're now bringing us deals, that's different from where we were 3 months ago, where we 6 months ago. And we have early wins in six accounts that all should be shipping into very nice large deals over the 6 months, 9 months. So I'm feeling very good about it.
Jeff Van Rhee: Just to be clear, the 14% is that, 14% of bookings, 14% of revenues?
Eric Smit: That's revenue, Jeff.
Jeff Van Rhee: Okay, thanks and then. Well around the Cisco, just any way you can quantify how many logos came through, how many deals have come through them in the 3-year, 6-month windows and any even crude commentary or quantification of maybe year-over-year growth in the delayed state value of that pipe?
Ashu Roy: We don't have that off the top, but we can get back to you on that. I know that we closed, let's say through the fiscal channel. I'd say north of eight deals this quarter. The most of them are small early wins, but they're in good names. So the rate is definitely picking up.
Jeff Van Rhee: Okay and then can you comment on the business flow this quarter. Obviously, you're lowering on currency Exony and some professional services, but can you comment on the flow this quarter in terms of the signings, a little more colour on where the business came and where it didn't come and how the bookings were relative to your expectations coming in?
Ashu Roy: Sure, so in terms of what I thought we would do, I don't think we got to that point. We're probably off by three deals that we were trapping, that did not get closed. Two of those already closed, but the third one it's in the channel right. It's kind of signed up by the customer, but still working its way through the partner. So that's the answer to the bookings expectation versus where we ended up.
Jeff Van Rhee: Where are we, I guess two questions. One, the professional services reduction and expectation. I would have thought with the increase complexity of existing at least initially, there would actually be more integration in work challenges, until the products are fully streamlined to be integrated several levels deeper that I would think there now. Can you just fill in some of the gaps there on the professional services side, both that question and is are there partners that are geared up and ready to pick up this flow, as it stands?
Ashu Roy: So on the Exony front, the complexity it's sort of the services business is relatively steady I would say, it's not dramatically down or up in anyway. The part which has significantly simplified is the core eGain product set and so that's where the services requirement we feel, in fact we are trying to reduce the services requirement even more, so that the speed of deployment and speed of expansion in these wins can be accelerated.
Jeff Van Rhee: Okay, last one from me. I'll let somebody jump on. On the bookings growth, I think there was 6-month bookings growth number and I may have missed in the commentary, but what was the bookings growth for the quarter, both as I guess as reported and organic if you're able to give it to us, so we can compare without Exony?
Eric Smit: For the quarter, the growth is 4%, Jeff and well we didn't break up the Exony number.
Jeff Van Rhee: I mean, I'm not looking at the numbers, but is it reasonable to think at least it was organically up excluding Exony, if you haven't take a guess at it.
Eric Smit: Oh! That's [indiscernible] Exony number there was no significant contributions, so that's absolute, yes.
Jeff Van Rhee: Okay, thank you.
Operator: We'll go next to Mark Chappell with Benchmark
Mark Chappell: Eric, what was the Exony revenue in the quarter?
Eric Smit: We have not spoken out the Exony, as again I think moving forward with this combination. So that's not concerning us, we've disclosed at this point.
Mark Chappell: I mean, is it fair to say, that it underperformed in the quarter.
Eric Smit: Yes, I think aligned with what we're talking about this in the guidance, that certainly from the new business standpoint came in lower than what we had expected.
Mark Chappell: And I didn't catch the foreign currency impact on total revenue quarter, what was that impact?
Operator: We will go next to Jon Hickman with Ladenburg Thalmann
Eric Smit: Sorry, just a second I was getting back to the that earlier question.
Operator: I apologize; we'll go back to the previous questionnaire.
Mark Chappell: Could just discuss a little bit more detail some of the changes, that AJ has implementing the sales force as a result of the current happenings in the quarter.
Ashu Roy: This process started out, when he took on the responsibility but over the last 6 months he's been, like I said three big things that he's driving on the team side. One is, just a lot more transparency and who's contributing what and whose pipeline is developing and the performance areas are and where the areas of weakness are? So I think based on that, he had the first quarter assessment and then on the second quarter assessment, he made some changes on people who are not performing and brought in some more people who were in the places, where we had pipeline strength, that's one thing. The second thing is from a pipeline building standpoint, he's working a lot more closely with marketing on driving very tangible opportunity driven pipeline building for to have marketing dollars go into those areas and one of the areas we had identified early in the fiscal year was that, we wanted to market more heavily around our own installed base and eGain World. In the past, we used to spend x amount of money on that, we increased that, we increased the investment in those areas and the return so far seem to be very good because we are seeing the kind of interest from not just our customers, but also from partners and prospects who seem to be very keen to hear our go forward vision and story, which then results in pipeline. Those two things and then finally, his focus on bringing together a more cohesive go-to market, dedicated go-to market team and that's an area, where in the past we had a dispersed set of responsibilities, which now we've got under one team and that's actively now kind of focused on enablement and training of all the sales people. So those are the three big things, that I see happening under his watch.
Mark Chappell: Okay, great any word yet on?
Eric Smit: Yes, sorry it was about $500,000 with the impact for the quarter, on the foreign currency.
Mark Chappell: Great, thank you. That's all from me.
Operator: [Operator Instructions] we will go to next Jon Hickman with Ladenburg Thalmann
Jon Hickman: Eric, could you clarify for us, exactly what do you mean by exiting the fourth quarter with a 5% run rate, EBITDA will be 5% of revenues, is that what you're talking about?
Eric Smit: That is correct, yes.
Jon Hickman: Okay and then, so could you quantify for us a little bit, a little bit more the where the fading's are coming from in each of the categories sales and marketing and the professional services, side? Can you give us a percentage of revenues that you would like hit for each of those in the fourth quarter?
Eric Smit: So I think, we're still working through the details in this particular groups. I think overall, we're comfortable with that as a bottom line item. So I think at this point, we haven't sort of onto the position to give you the specifics into each of the groups. I think, we'll work through that process, but I think from an R&D standpoint, our expectations there are not, we shouldn't expect to see sort of dramatic adjustments. I think, most of the savings are going to be coming obviously from adjustments on the professional services side. We have anticipate probably cutting that by, as much as 20% of our current cost structure is and the same would apply to sales and marketing. So maybe cutting the current spend level of our sales and marketing by in the region of 20%. So those are the two primary areas, where we'll be seeing a cost savings come from.
Jon Hickman: Okay and then I don't know how wants to take this question, but I mean from my modelling way, the shortfall in the quarter was primarily in the license revenue business, but you seem to be focused on the fact that the cloud business didn't come through as you wanted? So I'm a little confuse there.
Eric Smit: So I think, Jon as you know with the revenue recognition, the cloud bookings I expect is obviously what drives the, it doesn't have any immediate impact on the revenue from a business standpoint. So I think that, some of the deals that Ashu alluded to, certainly were licensed deals that would have had an impact for the quarter, that closed although, one of them was the cloud deal, when that closes we're obviously having impact on our future cloud revenue, but wouldn't have that immediate impact from the quarter.
Jon Hickman: So those three deals that Ashu commented on that would have boosted your bookings by quite a bit and revenue by $2 million?
Eric Smit: That's exactly right, that's right. Two out of those, three were on-prem deal and one was the cloud deal.
Jon Hickman: Okay. I think that's it from me. Thank you.
Operator: And we will go to follow-up Jeff Van Rhee with Craig-Hallum
Jeff Van Rhee: Yes, just a couple from me there. What was end of quarter sales headcount?
Eric Smit: About 33.
Jeff Van Rhee: And what was that say 6 months ago?
Eric Smit: It was probably closer to 14.
Jeff Van Rhee: Okay, alright that's helpful and then on the recurring side. I think it's 42 to 44 for the year. So what we've done here, we done almost 22 already. Just in terms of the pipeline and bookings activity at Cisco, can you, I think that was the one you called out that maybe hadn't, that they weren't necessarily gravitating to it, the way would have expected initially, can you just expand on that little bit, I'm not sure I understood that.
Eric Smit: Sure. As you know, we announced the cloud-based product in the Cisco channel middle of last calendar year, right around May, June timeframe and we were expecting that by now, we would see more cloud [indiscernible] starting to get deep in the pipeline, we've seen one or two, but we are not seeing as much as we want to on the cloud side. So we're going through an iteration with Cisco working with them and understanding and our field teams of Vicky McGovern, who works for AJ, she's sort of leading the charge to understand where the impediments are for the Cisco folks and the partners to pitch and sell the cloud effectively and we think, we understand some of issues, that they seem to be struggling with. So we are going and fixing that, that's the one negative on that channel side that had brought out.
Jeff Van Rhee: Okay and then on the premise side, with Cisco, they started to ramp the deal counts a year maybe a bit ago and I think initially the deals came in smaller than expected, but the belief was these are some pilots, but there was some massive customers that wouldn't have had access to otherwise and the potential to cross sell, up sell those customers was substantial. So if I take the deal counts and the total license revenues this quarter, it doesn't look like some of those folks are following on, can you just colour in, what you've learned from those early customers or the 12-month ago kind of customers?
Ashu Roy: Sure. So we're working on expanding them. You're right in saying that, we haven't had many of those expansions this last quarter in Q2, but we are seeing those are actively being worked on and those opportunities are continuing to be important to us and whether that cadence becomes a more regular one, is something that we have to keep filling the pipe on the expansion opportunities with.
Jeff Van Rhee: Okay, that's it. Thank you.
Operator: Now we conclude our question-and-answer session. At this time, I would like to turn the call back over to management for any additional or closing remarks.
Ashu Roy: I want to thank everyone for joining us today again, if you do have any other questions. Please feel free to give us a call and also like to mention again, that we are having our eGain World in London next week on February 10th and 11th. Well we hope, if anyone happens to be in the neighbourhood of London to come join us and thanks again. We'll look forward to talking to you on our next conference call. Thanks.
Operator: This does conclude the conference. We thank you for your participation.